Operator: Greetings, and welcome to the GSE Solutions Second Quarter 2020 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kalle Ahl of The Equity Group. Thank you. You may begin.
Kalle Ahl: Thank you, Jesse, and good afternoon, everyone. Thank you for joining us today. Before we begin, I would like to remind everyone that statements made during the course of this call may be considered forward-looking statements within the meaning of 27A – Section 27A of the Securities Act of 1933, as amended; and Section 21E of the Securities Act of 1934. These statements reflect current expectations concerning future events and results. Words such as expect, intend, believe, may, will, should, could, anticipate and similar expressions are words that are used to identify forward-looking statements, but their absence does not mean a statement is not forward-looking. These statements are not guarantees of future performance and are subject to risks and uncertainties and other important factors that could cause actual performance or achievements to be materially different from those projected. For a full discussion of these risks, uncertainties and factors, you are encouraged to read GSE’s documents on file with the U.S. Securities and Exchange Commission, including those set forth in periodic reports filed under the Forward-looking Statements and Risk Factors section. GSE does not intend to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. On this call, management may refer to EBITDA, adjusted EBITDA, adjusted net income and adjusted EPS, which are not measures of financial performance under generally accepted accounting principles or GAAP. Management believes that these non-GAAP figures, in addition to other GAAP measures, provide meaningful supplemental information regarding the company’s operational performance. This information facilitates management’s internal comparisons to GSE’s historical operating results as well as the operating results of its competitors. Since management finds these measures useful, GSE believes that investors may benefit by evaluating both non-GAAP and GAAP results. Investors should recognize that these non-GAAP figures might not be comparable to similarly titled measures of other companies. These measures should be considered in addition to and not as a substitute for or superior to any measure of performance prepared in accordance with GAAP. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures in accordance with Regulation G SEC can be found in the company’s earnings release. I’d now like to turn the call over to Mr. Kyle Loudermilk, Chief Executive Officer of GSE Solutions. Kyle, please go ahead.
Kyle Loudermilk: Thank you, Kalle. I’d like to welcome everyone to GSE’s second quarter 2020 financial results conference call. Joining me on today’s call is Emmett Pepe, our Chief Financial Officer. Earlier today, we issued a press release covering our second quarter financial results. Hopefully, you’ve had a chance to review this news release, but if not, a copy can be found on our website at www.gses.com under the News section. It’s been less than a month since our last conference call, given that we are catching up on our overall quarterly filings, so I’ll keep my opening remarks brief. After some reporting delays during the onset of the COVID-19 pandemic, we are glad to be back on track and we anticipate timely quarterly filings moving forward. As anticipated, our second quarter financial results were depressed due to the COVID-19 pandemic. The pandemic has resulted in industry-wide RFP delays, project postponements and softer customer demand. Nonetheless, we generated positive cash flow and paid down approximately $3.5 million of long-term debt during the quarter. This demonstrates our ability to manage through the current challenges through providing essential services to our industry, while operating the business within the constraints of the pandemic. We reported second quarter revenue of $14.3 million and adjusted EBITDA of negative $191,000 both of which were below the respective prior year comparable figures and well below the normalized potential of our business. In response to the COVID-19 pandemic, our clients have taken a very conservative near-term approach to commencing new projects, delaying work when possible and limiting their use of staff augmentation to keep on-site employees to a bare minimum. Given that our clients have pared the hours of their own workforces to encourage social distancing, it is not a surprise the industry is experiencing a temporary dearth of new staff augmentation awards. Our nuclear industry training and consulting segment was no exception this quarter, with limited new orders, which were more than offset by a significant project stoppage during the period at one of our clients’ facilities, specifically due to COVID-19. Our expectation is that this project will pick up in 2021 as this work is essential. In this environment, we are fortunate to have a scalable model in which our NITC employees are only on our payroll if they are billable. Notwithstanding the challenges this quarter, we are pursuing a few very significant staff augmentation opportunities and are cautiously optimistic that we will have favorable news to share in the second half of the year. The long-term demand outlook for staffing and training services remains robust, given the unique needs of the nuclear power industry. In our Performance segment, orders totaled $7.1 million, up from $3.7 million in the prior year quarter. We want a steady flow of fundamental meat and potato business as we continue to provide essential services to a critical industry in a period of time that is between large full scope simulator projects. Our ability to continue to secure additional funding for long-standing time and material contracts and to win various smaller system design and build projects during these challenging times, validates our strategy and the essential nature of our services for the industry. Our total backlog at the end of Q2 stood at $46.6 million, consisting of $31.2 million of performance improvement backlog and $15.4 million of NITC backlog. Our backlog, along with the new orders that came in during a very challenging quarter, impacted by COVID-19, demonstrate that the company is doing all it can to bridge the pandemic and do so with a solid backlog cushion. We are working hard to add to these levels in the second half of the year. This quarter, we generated cash flow from operations totaling approximately $360,000 and paid down approximately $3.5 million of our long-term debt. We have been prudently managing our balance sheet and our goal is to pay the remaining balance of our debt on our delayed draw term loan facility by the end of the third quarter. At quarter end, our net debt totaled $5 million, consisting of $23.3 million of debt and $18.3 million of cash inclusive of PPP, respectively. This is a demonstration of the deep value of our franchise, delivering essential services to a critical industry. It is also a testament to our ability to manage through a difficult economic environment, generating positive cash flow as we go. In closing, we remain very optimistic about GSE’s long-term opportunity, given our difficult to replicate assets, specialized employees and innovative technologies. GSE delivers essential services that are critical to our clients’ operational safety and efficiency. We believe that our customers’ purchasing behavior will ramp back up, although we can’t predict the exact timing given the continuing pandemic. As we have seen before in times of crisis, certain work can only be delayed for a limited period of time. Nuclear project work routinely has rebounded from industry shocks, including major events such as Fukushima and the 2008 Financial Crisis, and we expect that to be the case post-COVID. In the meantime, our emphasis today is on protecting the health and safety of our employees and clients during the COVID-19 pandemic, while working diligently to grow organically, streamline operations, contain costs, maximize cash flow and pay down debt. I’ll now turn over the call to Emmett Pepe, our CFO, who will review the second quarter financial results. Emmett, please go ahead.
Emmett Pepe: Thank you, Kyle. Total revenue in Q2 2020 was $14.3 million compared to $23.5 million in Q2 of 2019, reflecting a $4.7 million decrease in our Performance Improvement segment revenue and a $4.4 million decrease in our NITC segment revenue. The decrease in the Performance Improvement revenue was driven primarily by COVID-19 related headwinds and our inability to commence certain projects remotely, combined with the successful conclusion of major simulator projects in the second quarter of 2019. The decline in NITC revenue was primarily due to COVID-19 related headwinds and lower staff augmentation needs from customers during the quarter. Gross profit in Q2 2020 totaled $3.6 million compared to $5.9 million in Q2 2019. Performance Improvement gross profit declined by approximately $1.8 million to $2.7 million. NITC gross profit decreased by approximately $495,000 year-over-year to $832,000. The decreases in gross profit for each segment were in line with our revenue declines. We continue to manage our cost structure during this pandemic to maintain our margin percentages. SG&A expenses totaled $4.7 million in Q2 2020 versus the comparable figure of $4.3 million in Q2 2019. The increase in SG&A expenses was driven by a provision for loss on an expected legal settlement of approximately $861,000 related to our subsidiary, Absolute Consulting. Operating loss equaled approximately $1.9 million in Q2 2020 compared to operating profit of approximately $626,000 in Q2 2019. The non-GAAP adjusted EBITDA loss, as defined in our earnings release, totaled approximately a negative $191,000 in Q2 2020 compared to adjusted EBITDA of $1.9 million in Q2 2019. We concluded Q2 2020 with a cash position of $18.3 million and total debt of $23.3 million. During the first six months of 2020, we paid down $8.6 million of our long-term debt. We are negotiating an amendment to our credit agreement with Citizens Bank. While there can be no assurances as to the outcome of that process, we anticipate utilizing a significant portion of our unrestricted cash to pay down or pay off the term loan used for the acquisitions of DP Engineering and True North Consulting. We believe that even if we pay off the entire term note, we will have sufficient cash or working capital available to support our ongoing business. As previously disclosed, earlier this year, we received a Paycheck Protection Program loan of $10 million. We have used and plan to continue to use these funds for payroll and related costs, rent, utilities and other permitted uses. We are not yet able to determine the amount of the PPP loan that might be forgiven. I will now turn the conversation back to Kyle.
Kyle Loudermilk: Thank you, Emmett. We’d like to now open the call to Q&A from the floor. So operator, please open the floor for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tim Chatard with Meros Investments. Please proceed with your question.
Tim Chatard: Hi. I didn’t catch the segment revenue for Performance and NITC. I was trying to take notes. But can you give me those numbers?
Kyle Loudermilk: Emmett, can you go back and…
Emmett Pepe: Yes. Yes, absolutely. The revenue for Performance Improvement, totaled – sorry, that’s total revenue. My apologies. I’ll give you the numbers here, one second. Yes. For Performance, the revenue for the three months was $8.3 million and for NITC for the quarter was $6.1 million. So that totaled to $14.3 million. Yes.
Tim Chatard: Thanks. Can I ask a separate question? Or…
Kyle Loudermilk: Sure.
Tim Chatard: Yes, I’m not a sell-side guy, so I usually don’t default to the I’ll get back in queue language, I’m not versed that way. But just related to the PPP loan, I understand what most companies that have taken them are working through the dynamics of how they work. But is there a timetable by which some, some future date you’ll know what is repayable and what’s forgivable?
Kyle Loudermilk: Yes. Emmett, do you want to take that or me?
Emmett Pepe: Yes, I can take it. Yes. We – based on the time line, we expect that in Q4 of this year, we will have our position finalized, but then that’s also subject to any audits and so forth that might be subsequent to that.
Tim Chatard: And so just – then you would then submit your plan via your bank and then you would – and then the bank would then be in touch with the SBA and then the SBA would be back in touch with your bank? I’m just trying to – this is such a new program. It’s a – everybody is trying to figure it out. But is that basically the loop of activity? You submit a plan to your bank, the bank then contacts the SBA and then at some point in time, the SBA lets the bank know what the answer is?
Kyle Loudermilk: Yes. This is Kyle. Generally speaking, Tim, that is the process. So we expect to have this completed by Q4, but it ultimately depends on the lender, and we flow our information through the bank.
Tim Chatard: And what bank did you have to do go, through for this? Was it Citizens?
Kyle Loudermilk: Yes. So bank of record, which is Citizens Bank, which is an SBA lender.
Tim Chatard: Understood, yes. Thank you.
Kyle Loudermilk: Okay, thanks. Operator, any other questions?
Operator: [Operator Instructions] It appears we have no additional questions at this time. So I’d like to pass the floor back to management for closing comments.
Kyle Loudermilk: All right. Thanks very much, Jesse, and thanks, everyone, for joining us. We appreciate your time and interest in GSE. While we won’t on the road for investor conferences in the near-term due to COVID-19, we do remain accessible for one-on-one calls and happy to have them. So please reach out to our IR firm, The Equity Group and Kalle Ahl, if you’re interested in scheduling a follow-up call. Again, thanks, everybody, and be well.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. We thank you for your participation, and you may disconnect your lines at this time.